Operator: Good morning. My name is Christy and I will be your conference operator today. At this time I would like to welcome everyone to the Greif fourth quarter and fiscal year conference call. All lines have been placed on mute to prevent any background noise. (Operator Instructions) Ms. Strohmaier, you may begin.
Deborah Strohmaier : Thank you, Christy. Good morning. As a reminder you may follow this presentation on the web at www.greif.com in the Investor Center under Conference Calls. If you don’t already have the Earnings Release, it is also available on our website. We are on slide two.  The information provided during this mornings call contains forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are on slide two of this presentation in the company’s 2007 Form 10-K and in other company SEC filings as well as company earnings news releases. As noted on slide three, this presentation uses certain non-GAAP financial measures, including those that exclude special items such as restructuring charges and timberland disposals. Management believes that non-GAAP measures provide a better indication of operational performance and a more stable platform on which to compare the historical performance to the company than the most nearly equivalent GAAP data. All non-GAAP data in the presentation are indicated by footnotes. Tables showing the reconciliation between GAAP and non-GAAP measures are available at the end of this presentation in Greif’s fourth quarter and fiscal 2008 earnings release. I will now turn the call over to Chairman and CEO, Mike Gasser. 
Michael Gasser: Thank you, Deb. Good morning everyone. I appreciate you joining our conference call today. If you’re following this presentation on the web, we are on slide four. We are pleased with our record results for the fourth quarter and fiscal year, which benefited from the Greif business system and our geographic and product diversity. With the economic downturn that began in our fourth quarter, we methodically and aggressively accelerated execution of the Greif business system and initiated other temporary and permanent cost reduction initiatives. As a result of our controlled response, we will remain well positioned to deal with the global economic challenges and fast changing business environment. Now to slide five. We expect the global economic slowdown to continue through 2009. As I just mentioned, we have implemented a number of cost reduction measures to protect our financial position throughout the year. We continue to closely manage our portfolio consistent with our strategy. We are fixing, selling or closing under performing operations and consolidating networks. We have curtailed discretionary spending, frozen hiring and salaries, and reduced capital expenditures. We are also using and refined the tools of the comprehensive and integrated Greif business system to continuously improve in everything including operations, sourcing, administration, sales, working capital and talent management. On slide six. Despite the current economic situation, we achieved working capital targets one year ahead of schedule. Our 2009 operating profit and SG&A targets remain aspirational based on a normalized environmental although the current economy is anything but. Executive Vice President and Chief Financial Officer Don Huml will now provide you with an update of our financial results. 
Don Huml: Thank you, Mike. Good morning everyone. Please go to slide seven. My remarks today will include a review of our full year results and comments about the specific actions we are taking to address the current economic and business environment. We are pleased that net sales increased 14% to $3.8 billion or 10% excluding the impact of foreign currency translation. Strong organic sales growth for industrial packaging products and higher selling prices in response to higher raw material costs primarily drove the increase, which was equally split between the selling price and volume. Operating profit before special items increased 33% to a record $413 million in 2008. The $102 million increase was principally due to higher operating profit across our business segments and included a previously reported one-time $30 million pre tax gain from the divestiture of business units in Australia and Zimbabwe. Net income before special items increased 40% to $267 million in 2008. Diluted earnings per Class A share before special items were $4.54, $4.19 excluding the one-time item I noted a moment ago, compared to $3.22 per share in the prior year. On slide eight. 2008 marks our fifth year of solid growth and leverage improvement in our earnings. The performance improvement trajectory provides tangible evidence of the power of the Greif business system. Slide nine, shows industrial packaging net sales up 15% or 10%, excluding the impact of foreign currency translation to $3.1 billion in 2008. Higher sales volumes across all regions with particular strength in emerging markets continued to drive the segments organic growth. Operating profit before special items rose to $315 million from $229 million last year. This increase was primarily due to improvement in sales volumes, higher selling prices and contributions from the Greif business system, which were partially offset by higher input costs. Now on slide 10. Paper Packaging net sales were $697 million in 2008 compared to $654 million last year. This was principally due to higher selling prices, including a container board increase implemented in the fourth quarter of 2007 and partial realization of an increase implemented in the fourth quarter of 2008. The remaining amount of that increase is expected to be realized in the first quarter of 2009. Operating profit before special items for this segment increased to $78 million from $68 million in the last year. This increase was primarily due to higher selling prices from the container board increases, which was partially offset by higher input costs including energy and transportation.  On slide 11. Timber operating profit before special items was $21 million compared to $14 million last year. Included in these amounts were net gains from the sale of specially used properties of $17 million in 2008 and $10 million in 2007. Now turning to slide 12. Before reviewing our guidance for 2009, I want to address the status of our fiscal 2009 financial charges. We exited the third quarter of 2008 on track to deliver our 2009 goals. In fact we achieved two of them as Mike noted, ahead of schedule. While our operating environment returns to more normal conditions, we have every expectation of delivering the remaining metrics. Until then we shall continue to be transparent and keep you informed of our progress. We continue to actively monitor market conditions and are maintaining close contact with our customers. While visibility is currently limited, we have initiated several specific initiatives to address current business conditions. These include $50 million of additional savings from further implementation of the Greif business system. Contributions are expected from our operational excellence and global sourcing activities. In addition we are accelerating other initiatives that involve continuation of active portfolio management, which included 15 facility closing in 2008; further administrative excellence activities, a hiring and salary freeze and curtailed, discretionary and capital spending. Plans are currently being implemented in each of these areas to achieve an additional $50 million in savings during 2009. The combined operating profit impact of these GBS initiatives is expected to be approximately $100 million in 2009. We anticipate the factors currently affecting the global business environment to continue throughout 2009. We expect an estimated adverse impact from foreign currency translation of $0.24 per Class A share and a higher effective tax rate due to a change in earnings mix of $0.24 per class share, both compared to 2008 and these items are incorporated into our guidance. As a result, we expect that earnings per Class A share will be in the range of $3.25 to $3.75 for fiscal 2009. That concludes my remarks and you should now go to slide 13. Mike and I will be pleased to answer your questions.
Operator: (Operator Instructions) Your first question comes from Christopher Chun - Deutsche Bank. 
Christopher Chun - Deutsche Bank: I was just wondering what kind of volume trend you were assuming in industrial packaging in putting out your ‘09 guidance?
Michael Gasser: Chris, we hope there’s a relatively conservative position as we go through this and we’re looking at volume declines in the 10% to15% range on an average throughout 2009. This will be obviously more realistic, more challenging in the first quarter, because our first quarter historically is our softest quarter, but it will be challenging this quarter, primarily because of inventory re-balancing that’s going on with a lot of customers and I’m sure you read in the paper, there’s a lot of customers who are closing down their facilities for the month of December. So the first quarter will be soft. It’s normally soft and seasonally soft, so for the year we’re looking at 10% to 15% volume decline. 
Christopher Chun - Deutsche Bank: I guess I was wondering what that estimate is really based on, because I’m wondering if that’s the kind of volume trend you’re seeing currently, whether that might be unduly conservative if in fact inventory de-stocking is a significant factor in the volume trend that you’re seeing currently or whether in fact it might be realistic because the current volumes that you’re seeing are even worse than that and you’re actually baking in a modest recovery to get to that number.
Michael Gasser: I think what we’re seeing is in that range currently. I would hope you’re right and it is ultra conservative. No one really knows Chris; no one really knows what volumes are going to be in 2009. We’re very confident though that no matter what volumes end up being, we’re well positioned to deal with it through the Greif business system which we’ve talked about; with the management team who I think has proven that they can deal with any situation, rising pricing, lowering prices, increase volume, reduced volume, but we have felt that the best posture for us to do is to come out. What we see now if it’s conservative, that’s okay and we’ll continue to update you each quarter as we get better clarity of what the year is going to look like. 
Christopher Chun - Deutsche Bank: Okay, so would it be fair to say that you don’t have much visibility currently as to the extent to which inventory de-stocking may be a factor in the negative volume trend that you’re currently seeing?
Michael Gasser: That would be correct.
Christopher Chun - Deutsche Bank: Okay, so based on that you’re taking a conservative route and assuming things will not pick up?
Michael Gasser: That would be correct.
Christopher Chun - Deutsche Bank: Okay, that’s fair. I was wondering, based on your prior experience, maybe based on going through past recessions, to what extent do you see your volumes as correlated to GDP trends? Like for example, if we’re facing an economic slowdown that’s going to take global GDP down by five percentage points let’s say from trend, by how many percentage points would you expect your volumes to decline?
Michael Gasser: Well Chris, that’s a difficult question. I think we’re in times now that we probably haven’t seen, probably none of us who are sitting on this call or sitting around this table have seen the times we’re experiencing right now. Historically, the prior recessions, our volume has not decreased at the same rate that GDP has decreased. We’ve been a little bit more insulated than that, but we don’t know what today will bring and hopefully again we’re being conservative in what we’re doing, but we feel we’re giving you our best view of what we see it today.
Operator: Your next question comes from Chris Manuel - KeyBanc Capital.
Chris Manuel - KeyBanc Capital: A couple questions for you; actually to follow-up on Chris’s previous question. Could we maybe dissect a little bit of the trajectory through your fourth quarter and did you start off in August with volumes say up 10% and then flat in September and then into October, things fell off, can we talk a little about that first. Then if you could give us a little more color on geographically what you’re seeing or the environment look a little different in say Russia versus China versus the US, South America, etc.
Don Huml: Yes, Chris. In taking your second question first, in terms of the difference in geographies, Mike had mentioned overall 10% to15%. North America is more in the lower end of that range, Europe in the higher end of it and the other which includes the emerging markets, really a very broad range from Latin America where we have a very strong position within the agro chemical business where it is essentially flat to China and Russia that are very weak, so really, it varies quite a bit by region. In terms of the trajectory, we on a full year basis and I think this will provide some insight; on a full year basis, we met our organic growth target of 5% in real terms, but during the fourth quarter we were modestly negative, so low single digit declines. We clearly entered the quarter with a bit of momentum and we lost it during the mid point of the quarter and so that gives you some idea of the volume trajectory.
Chris Manuel - KeyBanc Capital: Okay and it’s the organic based volume trajectory, number of drums shipped that you’re anticipating to be down 10% to15% for your full fiscal year, is that correct?
Michael Gasser: That’s correct.
Chris Manuel - KeyBanc Capital: The second question I had, as we think about implementing the additional Greif business system actions, things of that nature, it sounds like in this facility either closures or shut downs for a period and that type of stuff and I’m guessing that’s going to be across both sides of the business, both the paper side and the industrial packaging side. Do you have a sense of would there be any restructuring charges or things of that nature in conjunction with that?
Michael Gasser: What we could do Chris, is really point to 2008 and I would say that we’re going to be ratcheting it up a bit, but we had 15 plant closures. I should add we also had seven facility additions, but we did have 15 closures. We incurred restructuring charges related to those of $40 million, in total about $48 million and we realized savings from the closures of approximately $40 million which is consistent with our past experience of a one year payback on such activities and that was not the impact, that was really the run rate; the impact for the year was $20 million. I think that something of a similar scope with restructuring charges comparable to those incurred in 2008, that would represent the $50 million and then we have the acceleration of GBS initiatives, where GBS has really been placed on a war footing and we have refreshed our diagnostics, identified additional opportunities and there is a process for weekly and monthly performance management against the opportunities identified and we are very confident that we’ll be able to realize those savings.
Chris Manuel - KeyBanc Capital: Okay and then just a couple more housekeeping oriented questions. The 325, the 375 of earnings that you’re projecting, can you back us in or help us foot what that may mean on an operating income basis? It sounds like there’s some moving parts down below the line with tax and interest and things of that nature. Can you help us sort of put that backwards, I guess number one; and then talk about what the free cash flow might look like? 
Michael Gasser: In terms of the operating profit, I mean we basically talked about the volume decline and what the impact would be on contribution margin and that is about $1.20 a share and then with the offset of GBS accelerated initiatives of $1.20. Now there is the currency impact, the translation impact of $0.24 per share and that would impact primarily operating profit. So we basically are saying on lower volumes, we’re going to be able to deliver a comparable operating profit before currency impact and then below the line as a result of the earnings mix shift, we will have the additional $0.24 per share negative impact.
Chris Manuel - KeyBanc Capital: Okay, so something in that 380’ish Op income range?
Michael Gasser: Yes, correct.
Don Huml: The range would probably be the 330 or 380 operating profit if you want just directly operating profit, yes you’re right.
Operator: Your next question comes from Jim Lucas - Janney Montgomery Scott. 
Jim Lucas - Janney Montgomery Scott: First question here, with regards to the inventory comment, with regards at the customer level, from a standpoint of your customers is there a general rule of thumb of how much inventory, whether it’s measured in days, weeks, that they tend to carry off your products and one of the things that seems to be going on in general these days is more of a inventory de-stocking across multiple channels and just trying to gauge inventory de-stocking versus lack of demand. Any color you could paint there could be appreciated. 
Michael Gasser: Jim, our finished product is very difficult to store because it’s empty, so it takes up a lot of space; so our customers generally have a couple days at the maximum inventory levels on hand. The problem with the system right now is the supply chain is backed up and it’s our customers customer who has the inventory that’s backed up, who has the field drums and they aren’t using them and so that’s where the supply chain is bogged down at. We fully anticipate that right now there is a lot of inventory de-stocking going on. We just don’t have visibility because it’s not our customers, it’s our customers customer where that’s at, at this point in time and when you couple this with a seasonally slow period anyways, which is this period of time, the holiday season and then you throw into Asia with the Chinese New Year falling shortly after the holiday season, so you do have a lot of uncertainty going on right now. We wish we had more clarity into the total supply chain, but the supply chain definitely is backed up at this point in time. Once that gets un-backed then we would hope that it would start flowing freely again.
Jim Lucas - Janney Montgomery Scott: Okay and following up on the commentary about geographies, a lot of the growth you’ve been experienced is with your customers expanding in emerging markets and we know what’s going on in North America; we’ve got a good idea of what’s happening in Western Europe, but when you look at the brick companies absent the “I” in there, is there any additional color you can provide from what you’re seeing from customers plans on continued expansion or anything with regards to end markets, because there’s a lot of focus more on the chemical, petrochemical but how the ag in the pharma side is holding up?
Michael Gasser: Well in Brazil, the “B” part of the brick, Brazil is holding up quite well. So as Don mentioned in response to one question, Brazil is holding up quite well, so the ag market is doing well right now. So flat to at worse than modest decline, so currently it’s doing well. Russia has its issues right now and Don mentioned I think that it’s in the upper end of the range, that being down and that is very true. I mean it has its issues with oil prices dropping, there’s issues there. Then China, there’s a lot being written about China today. We have a lot of customers who are expanding in China. To-date we have not heard any who have stopped expansion. We have a lot who have stopped production of their existing machinery, but again we’re hopeful that that will change once the inventory de-stocking occurs, but we have not seen anyone actually stop expansion as of this point in time and this expansion as you know Jim very well is a long term expansion. It’s not a one year or two year, it’s a multiple year expansion when they make a commitment to that. So we still think that opportunity exists. It’s just going to be delayed a little bit for the time being.
Jim Lucas - Janney Montgomery Scott: Okay and from a housekeeping basis, could you walk us through the geographical makeup at the end of fiscal 08?
Michael Gasser: I’m not sure I’m following your question there, Jim.
Jim Lucas - Janney Montgomery Scott: Well, just in terms of what percentage is North America, Europe’s emerging markets.
Michael Gasser: Do you know that?
Don Huml: Yes. It really would not have changed that much; around 52% for North America, 33% for Europe and then 15% for the emerging markets. 
Jim Lucas - Janney Montgomery Scott: Okay and then the final question; this is one of the grey areas going into next year that clearly the lower input costs are going to benefit you from a manufacturing standpoint and you’re getting a little bit of carryover on the pricing. I know you alluded to it earlier, but are you hearing any early pushback or discussions from customers now with the steel in particular coming down, coming to you for price concessions?
Michael Gasser: Well this is a very competitive business as you know Jim and fortunately part of our 50% business is under a contract that has a look-back in the provision, so that business is a business that we adjust the pricing based upon the terms of the contract, and the other 50 is spot basis and that’s just whatever the market is today. It still has changed quite dramatically. Steel in September was trading at $1150 a ton, the last reports that came out is 630 to 650, so 500 difference. Our supply chain people would tell you, they think that’s at the bottom or very close to the bottom and there you could phantom a scenario where steel would start increasing some time in the early next year because of all of the amount of capacity that’s been taken off the market and the steel industry around the world. So yes, we will continue to have those discussions, but they are no different than any other times that we’ve had when we had discussions “Will prices go up or prices go down.” The only issue right now is that we did have a little bit higher inventory at the end of the year, because of the unprecedented drop off in volume and so there’s a little bit out of balance with our inventory level versus our customer level at this point in time and that will help attribute a little bit of the softness of the first quarter as we go forth, but that will all be through our system by the end of January.
Jim Lucas - Janney Montgomery Scott: Okay and I apologize if you said this earlier, but from a capital allocation standpoint, you’re still going to be generating some nice cash flow. What are the priorities?
Michael Gasser: First of all cash is king right now. I mean that’s always been the case, but we want to be very diligent in using our cash very wisely as we go forward, but we’ll look at the traditional uses of our cash, we’ll continue to look at some growth opportunities and we will be opportunistic in this regard. During times like this, there are great opportunities to grow with the right situation. There are going to be companies out there, competitors out there who won’t have the emotional strength to continue or some may not have the financial strength to continue and multiples have dropped significantly. So we’ll look at growth opportunities if it makes sense at the right price. We’ll continue to look at making sure our debt to equity ratio is in the range that we have said we want it to be, so that will be something we look at and then of course we’ll look at giving money back to the shareholders in the form of dividends, stock buybacks, depending what makes sense at the time; but cash is really important right now and we’re fortunate to have a really strong balance sheet to be able to use our ability in times like this.
Jim Lucas - Janney Montgomery Scott: Do you have active buyback in place?
Michael Gasser: We have approved buyback by the board that has a little over 1 million shares available for it and so depending on the situation at that time we do have the ability to buyback. We have bought back during the last year.
Operator: Your next question comes from Mark Wilde - Deutsche Bank.
Mark Wilde - Deutsche Bank: I’ve got a few follow-up questions. That $100 million that you talked about in terms of savings, do you get the full impact of that hundred million in your ‘09 assumptions or do you get like half of it really hitting your ‘09 numbers?
Michael Gasser: Now that is the estimated impact of our initiatives.
Mark Wilde - Deutsche Bank: Then on the capital spending, I mean it seems to me that you’re still relative to depreciation; you’re still spending CapEx at a pretty healthy level. Any chances that we could see that number reduced further or why might you not reduce it further in such a weak economic environment?
Don Huml: No, we will definitely be reducing that. We had a bit of a spike in 2008 based on some acquisition integration activities and also some expansion capital that was invested in primarily the emerging markets; so we would anticipate spending less than our depreciation provision in 2009. We do expect to generate significant cash. I should also say that we’re going to have a reversal of some of the commodity inflation effects that impacted 2008. As Mike had talked about, the collapse of steel prices that is going to flow through our inventory and receivables and be a real positive just as it was a significant negative for 2008. I would really encourage you to look at 2008 and 2009 free cash flows together because really looking at them in isolation would give you a misleading picture.
Mark Wilde - Deutsche Bank: Okay, in fact I kind of anticipate one of the other questions I had, that if we just looked at your paper business for example, you buy wastepaper; the price of wastepaper has just collapsed in the last three months, energy prices have come down, you mentioned the steel impact. Any way that you can quantify the sort of the positive benefit of all of that for you as you see it right now in ‘09?
Don Huml: Well we can talk about the sensitivity. I mean for example as you know, it’s dangerous to isolate variables since there’s a lot of interaction with price and other factors, but just looking at our consumption of wastepaper or OCC, it’s about 485,000 tons and as you know, the price has just collapsed.
Mark Wilde - Deutsche Bank: Yes, I think they’re almost paying you to haul it away right now.
Don Huml: That’s exactly right. So, if you could say that there is an opportunity there of significant proportion. I certainly wouldn’t say that there’s $100 times the 485 or nearly a $50 million opportunity, but it certainly could be a significant one. As you know, we’ve been faced with elevated OCC for some period of time and we are 80% dependent upon wastepaper and 20% virgin, so we’ve been a bit disadvantaged vis-à-vis some of our peers. So clearly this is a positive development for the company, so that’s in and of itself is a positive. We also reference the pricing initiative in the fourth quarter, that $55 increase and clearly there’s the opportunity to more fully realize that during 2009, but you’re also very aware of the soft market conditions and so we’ve been quite pleased with the discipline of the industry to date and hopefully that continues, but it does represent an opportunity.
Mark Wilde - Deutsche Bank: Just two other things Don; one, we chatted in at some point in October there and I think you’d had kind of business reviews with the guys out in Asia and at that point it still sounded like you were seeing very healthy volumes over in China, so can we just get a little more color on sort of how and the elements of kind of when that story really started to change from your standpoint?
Don Huml: Yes Mark, you’re absolutely right. When we were doing the business reviews at the end of September, early October which was for our third quarter; during those business reviews, we always have a conversation of current market conditions and at that point in time things were still looking good in China and it was shortly thereafter. I mean days thereafter that volumes started to go down and then just really sort of shut down and that really was really customers deciding for a variety of reasons to slowdown and then ultimately stop productions for extended periods of time and that’s where we’re at today. It’s just that slowing down/stopping production for an extended period of time. It goes back to what we talked about a second ago; it’s the supply chain backed up. We don’t have enough visibility to see when that will turnaround, but logically you would think as soon as that un-bundles itself, then the supply chain will start flowing again freely and it was a pretty abrupt stop Mark; we used the analogy like going off a cliff.
Mark Wilde - Deutsche Bank: Along those lines Mike, the thing that does strike me, there have been some articles in the paper just in the last few days about the credit squeeze affecting farmers down in Brazil. There was a story I think in the times or the journal this morning about Argentina ag wheat production being down potentially pretty sharply this year. So I’m just kind of curious about the potential for what sounded like your strongest brick market to be a little weaker than expected because of that slowdown in ag in Latin America.
Michael Gasser: We’ve all read the same articles. The credit market is late coming to Brazil and it’s starting to affect and that possibility could happen; we haven’t seen it yet. We think that the range that we have of that 10% to15% for a year would allow us to have a little bit of slowdown there, that would materialize; but yes, we read those same articles Mark and you’re absolutely right. We just haven’t seen that yet and it’s flat to slightly lower at this point in time, but nothing of the magnitude that we’ve seen in other parts of the world.
Mark Wilde - Deutsche Bank: Okay, last question. I noticed that your timber sales were up for the full year and my observation would be talking with a lot of the TIMOS and others, it sounds like what they call an HBU landmark, it has cooled quite a bit over the last few quarters. Are you seeing that and would we want to assume that your discretionary land sales will drop off a bit in ‘09?
Michael Gasser: As you know we have never tried to predict what the discretionary land sales will be in any…
Mark Wilde - Deutsche Bank: That’s a hard thing to do; I realize that.
Michael Gasser: But you’re absolutely right; there is a cooling towards that. Gary Marts who is the President of [Inaudible] mentioned, there are still land sales out there; you just don’t have seven or eight people bidding on the land, you may have two or three, so there are sales going on, but it definitely has cooled. The land values tend to have remained fairly stable right now, so what we have sold has been at prices that we believe are fair prices and we’re going to continue to look at that as we go forward, but it is very difficult Mark as you appreciate them for us to try to predict that we never do, what those land sales will be.
Mark Wilde - Deutsche Bank: But would it be fair to say in your own planning, you might be taking a little more cautious view on that in 09?
Michael Gasser: Well I think that we always take the view that there won’t be much in there.
Don Huml: But we are anticipating as part of the guidance that the gain on asset disposals including HBO properties would be in that $15 million to $20 million range. So that’s been fairly consistent for some period of time.
Michael Gasser: And that would be some other Real Estate too.
Operator: Your next question comes from Jack Hain - Barrington Research.
Jack Hain - Barrington Research: The volume declines in the GBS offset seem to be on about a one-to-one basis. I was just wondering if the volume declines accelerate, how much flexibility you feel you have for further cost cutting initiatives?
Don Huml: Yes that, we would attribute the broad range to really reflect some of the uncertainty with respect to volumes. Clearly, we would continue to look for additional opportunities, but I would say if the volume declines really go beyond the indicated range, we’d have to revisit the guidance.
Jack Hain - Barrington Research: And also that 10% to15% volume decline in Industrial Packaging, you said that’s an average. I was wondering if you could provide anymore granular information in terms of what sort of seasonality you’re expecting. I imagine that that’s somewhat front end loaded and slight improvement is assumed for the second half but any color you could add would be helpful.
Don Huml: Yes, and that would basically be consistent with the seasonal patterns that are being exacerbated a bit by the inventory de-stocking that Mike has referred to.
Jack Hain - Barrington Research: Okay and finally, what are your gross margin assumptions for 2009, just in general?
Don Huml: Yes, that’s a bit more granular than we normally would get with our guidance, but we’re clearly going to be looking to maintain them. The one thing, in fact you’ve created an opening to comment on 2008 compared to 2007 where during a period of unprecedented volatility and commodity prices and raw materials, we basically were able to increase our gross profit margin by 10 basis points. So we feel pretty good about that, particularly when you consider Mike’s comments regarding what has happened to steel which is our largest spend item. We’re quite pleased with the ability to manage the buy side and sell-side and maintain margins in a very difficult environment.
Operator: Your next question comes from Bob Franklin - Prudential Financial.
Bob Franklin - Prudential Financial: You’ve mentioned keeping your debt equity ratio in the target range; can you remind us what that is?
Don Huml: We’ve always said in the 30% to 40% range Bob is where we’re comfortable at.
Bob Franklin - Prudential Financial: Okay and your bank facility matures in 2010; is that right?
Don Huml: That’s correct.
Bob Franklin - Prudential Financial: When in 2010 is it?
Don Huml: In March.
Bob Franklin - Prudential Financial: I walked in just a couple minutes late. It looks like most of your discussion, at least in the press release, was referring to fiscal year results and I’m trying to figure out if the world came to an end in the fourth quarter, why were your results improving?
Michael Gasser: Well, I think Don mentioned it a little bit in the beginning Bob, is that we came into the fourth quarter with good momentum.
Bob Franklin - Prudential Financial: Right, I caught that and then it sort of ended in the midway, so I’m wondering why you’re better than flat.
Michael Gasser: I think it’s because the momentum was quite strong going in. Chris Manuel alluded to that the volumes were up going in the first month. The second month started to get flat and then the third month fell off and just the way mathematically it worked we ended up a little bit less volume wise as Don talked about. Volumes were a little bit negative, but with the Greif business system and some price and cost cutting initiatives, we had a positive quarter.
Bob Franklin - Prudential Financial: Okay, and then with respect to comparing your levels of cash and debt year-end to year-end I understand that inventories were up and why they were up; it looks like receivables were up too. I’m trying to figure out where we’re going with cash and long term debt.
Don Huml: That is a very good point and I will refer back to the comments that Mike had made regarding the timing of the slowdown. It really occurred about a month and a half prior to the end of the year and so what happened is we immediately stopped purchases so payables contracted and at the same time you have inventories and receivables that have embedded within them the higher raw material costs and so the combinations really did result in a higher net debt level. So we’ll see in the first half of 2009 a reversal of that phenomenon and that’s really why I mentioned that it’s really better to evaluate free cash flow by looking at both 2008 and 2009.
Operator: Your next question comes from Christopher Chun - Deutsche Bank.
Christopher Chun - Deutsche Bank: Just following up on the margins that you’re expecting in ‘09, I mean you guys talked about how right now margins are robust because input costs are down and prices seem to be holding up, but are you baking in some amount of margin compression in ‘09 in your guidance?
Don Huml: Well we are anticipating the impact. Mike had mentioned that half of our customers have contracts and the other half purchase at market prices, so we are anticipating some modest erosion during the first quarter as the higher cost inventories are liquidated. Normally, we have a very effective natural hedge for that, but it’s not fully effective when you all of a sudden have volumes decline abruptly. So you don’t get quite the symmetry in the rising and declining cost environment. So that has been fully reflected in our guidance.
Christopher Chun - Deutsche Bank: I was actually asking about the Paper Packaging business where I take it that your input costs are not on a pass through basis with your customers.
Don Huml: No, that is correct.
Christopher Chun - Deutsche Bank: Right, and I’m thinking that that compared to what might be a historical norm, your margins on Paper Packaging are very high right now and I’m wondering if you’re assuming any margin compression in ‘09 in your guidance?
Michael Gasser: We’re not assuming that the margins are going to increase dramatically, so yes right now, as of this point in time with the input costs being lower and prices stable, the margins have expanded. We have not factored that margin expansion throughout the year. If that materializes then that would be positive for us.
Christopher Chun - Deutsche Bank: Then finally, I’m a bit surprised that you guys have not mentioned pension expense either in the release or in the call. Should we assume that there’s not going to be any material increase in your pension expense in ‘09 relative to ‘08?
Michael Gasser: That is a good assumption and really the reason is that we have elected to smooth the results of our pension investments and so any impact is really going to be over a five year period and there’s also a bit of an offset because we do have a higher discount rate reflecting the higher yield of corporate bonds and so basically investment performance is offset by the change in the discount rate, so basically a neutral item. I should also mention that our pensions; the global cost or the global pension expense is about $12 million, it’s just not a significant item. We have also frozen our defined benefit plan. There was a soft freeze in 2007. We have never provided retiree benefits. We have assumed some obligations through acquisitions, but very limited and then those plans were immediately frozen. So it is really not a significant issue for the company.
Don Huml: And Chris, the decisions we made in the past regarding pension, we’ve always attempted be conservative as we go forward as far as benefits and it’s proven to be the right decision as we go through something like this, that counts today.
Operator: Your next question comes from [Bob Sketch - Lord Abbot].
Bob Sketch - Lord Abbot: You’ve referenced the size of business systems in some of your discretionary cost saves. What are some of the larger items there or is it some of the more typical things watching travel expenses and so forth?
Michael Gasser: Yes we have the traditional things Bob that we do. We froze all salaries where legally possible around the world; discretionary spending has been frozen; we have hiring freeze; we reduced travel significantly. Those are the main discretionary items in addition to a much more rigorous performance management review process; looking at under performing assets, a much more rigorous review of that and Don alluded to that a second ago. Those are all elements of the Greif business system that are having a renewed focus right now.
Bob Sketch - Lord Abbot: Do you have much of an IT spend?
Michael Gasser: In relation to the size of our company, no. Less than 1% of revenues.
Bob Sketch - Lord Abbot: And you’re maintaining it say at prior year levels or is that changing too?
Michael Gasser: Right now that’s at the prior year levels.
Bob Sketch - Lord Abbot: Okay. In regards to your estimates for operating income and so forth, what sort of conditions do you feel would have to present themselves to earn as little as say $3 a share and what other levers do you have in place that could adjust to what might be a lower realized level of activity?
Michael Gasser: Well, the $64,000 question and all this equation is volume and so to get to that level of earnings, you would have to have a much greater draconian drop in volume. We have gone through a process Bob, of what we call Level 1, Level 2, Level 3 contingency plans which we’re implementing. We are meeting constantly, we’re looking at Level 4, Level 5, Level 6 in case something dragooning comes up. So the one thing that we have today that gives us confidence that we have controlled the situation is the transparency from the Greif business system. That vehicle is allowing us to see through the organization, understand where the drivers of costs are at and able to adjust our costs based upon that analysis. So while we’re not happy we’re going through this, we do have a degree of confidence based upon history that we’re going to have transparency and be able to manage our way through it. So it could happen of course, but that’s part of those unknowns that you could have a lot of speculations of what could happen.
Bob Sketch - Lord Abbot: It sounds like you’re having a real-life test of this system right now in a way that you might have only expected working in terms of providing an outcome that you would have hoped, but at the same time would have hoped never have to had faced.
Michael Gasser: Well, I would respectfully maybe disagree a little bit with that Bob. I think last year when prices spiked was an equal test to the Greif business system, because raw material costs went up on an unprecedented level and we were able to prove that we had the transparency to be able to adjust prices and sales prices of costs and relationships. So we do have a degree of confidence that this is not a virgin territory we’re at right now, because we did go through it. I agree it’s on the other end of it, but we did see a spiking which is what we’re experiencing right now.
Bob Sketch - Lord Abbot: Okay, in that regard do you have any longer term contracts where it gets tougher to make those adjustments when commodity prices are moving big time either direction?
Michael Gasser: Well we have contracts that have various degree of lengths as far as the contract from one, three to five years, but they all have a provision to have price changes based upon raw materials and that might be 30, 60, 90 days, but they all have provisions for raw material changes.
Bob Sketch - Lord Abbot: Okay, in regards to your productivity targets as well as profitability targets, when you look at this year, are you likely to achieve them especially on the productivity side and then on the profitability side I guess you’ll probably be lower than targets, correct?
Don Huml: Now that, we would expect to realize the productivity target and one of the advantages that we have is a variable cost structure, but we don’t want to take that for granted. Even though we have 70% to 80% of our costs and expenses that are variable, we really need to performance manage the labor productivity to make sure that those variable costs are eliminated and that receives an intense focus and there’s an awful lot of benchmarking that is done as part of the best-in-class process, so that we’re constantly monitoring our labor productivity and efficiencies and energy consumption and that’s really very, very helpful as we have to flex for changes in volume.
Bob Sketch - Lord Abbot: Okay. In regards to incentive systems that would apply to ‘09, is there a growth component that’s required on an annual basis and incentive comps will be low as a result or is it simply just executing against the kind of plan that you’ve described today?
Michael Gasser: No. The incentive plan which is still being reviewed by our comp committee has historically been based upon a return on net asset calculation, so that we look at managing the assets based upon the profitability, so there would be a component based upon that. There’s also a long term component of comp and that is based upon a cumulative earnings per share and free cash flow and so those components would be in there.
Bob Sketch - Lord Abbot: Okay, and in regards to your initiatives in the Middle East, you had formed a JV not that long ago over there and I think you said it was more steel drum related of the business you’re expecting, but you also said that you were expecting some meaningful amount of future business based on a particular major chemical company in particular that was planning on a new plant in I think you said the year 2012. Was that one of the projects, has that pushed that out at all?
Michael Gasser: We have not heard if they have pushed that out. Actually the last release I saw from them that they were still committed to that region, but we have not heard anything about pushing it out.
Bob Sketch - Lord Abbot: Okay and in regards to just one final question in discussion as to what let’s say a typical company may be doing to deal with the level of uncertainty that we have right now, managements have a couple of choices and I think some of the names that I’ve examined besides yourself kind of feel that they’re attempting to maximize profitability in the short run and may actually end up hurting themselves longer term by making some of the significant cuts, especially when they really don’t even know what the next three, six or 12 months are going to look like. The costs of shutting down some of the things or eliminating some of the staff that they have may actually require them to rehire those same people. Can you just talk about how you balance the two and minimize cutting into the bone at all?
Michael Gasser: That’s a very good question and it’s a very real-life situation. All my direct reports called the officers of the chair and so we have six or seven individuals that meet monthly and we talk about all of the contingency plans that we’re going to put into it. One of the things Bob that we talk about a lot is no regret moves and I think that gets to your point. These are moves that make sense that we do and if the environment would change tomorrow upward, would we regret that we did this, so we debate our self the question. Some of the items that we’re talking about in the Grief business system were items we were going to do anyway regardless of the economy. Some we would have done two years from now, but we’re pushing them forward. So to-date we feel very confident that we have not cut into the muscle or bone as you said, but it’s something that I think we like all companies got to be very cautious of to make sure that we don’t over react and we don’t think we have, because we’ve been going about this fairly methodically as we’ve looked at it. Again the transparency we have from our processes allows us to make sure that we don’t get into a situation where we would regret something we’ve done.
Operator: Your final question comes from [Mike Blassie - Point Advisors].
Mike Blassie - Point Advisors: Just two quick questions here; did you disclose what the cash from operations this quarter was?
Don Huml: No, no.
Mike Blassie - Point Advisors: Do you have that figure?
Don Huml: Yes, that figure will be a bit less than $100 million and what we would anticipate for 2009 is $300 million to $350 million and so that really goes back to the point made earlier that you really need to look at those two periods together, because we did have the inflated working capital, that increased to the requirements by in excess of $135 million and then you also had the $50 million of CapEx in excess of our depreciation provision. So what you’re seeing is really based on the timing of our fiscal year end and the slowdown that occurred mid quarter. There was really just a timing issue that results in that need to average the two periods.
Mike Blassie - Point Advisors: And one last one; I noticed you guys have some receivables purchasing agreements. Can you just talk about those a little bit and if you have the figures on the amounts outstanding under those programs; that would be helpful.
Don Huml: Yes. In fact we have a facility with Banc of America, a receivables securitization facility with an amount of $135 million and that is really a way for us to indirectly participate in the commercial paper market at a spread of a little over one point over basically B of A’s commercial paper rates. So it’s really a very attractive source of funding.
Mike Blassie - Point Advisors: And is that $135 million free or…?
Don Huml: Well that is substantially utilized. We then also have a revolving credit facility. We had mentioned earlier that has an expiration of March of 2010 in the amount of $450 million and at the end of the year there was $200 million that was unused and available.
Mike Blassie - Point Advisors: Perfect, and are these separate from the RPAs or which one of those specifically is what is referred to in your statements; say for instance the Singapore receivable purchase agreement, the Italian receivable purchase agreement and then I guess another general repurchase agreement is mentioned here as well.
Don Huml: Yes. We also do have outside of the U.S., because the on balance sheet receivable securitization program is U.S. based. For some of our international locations where it’s cost effective, they do enter into factoring arrangements. Those are true sales where there is a transfer of credit risk and those amounts will vary.
Mike Blassie - Point Advisors: So you don’t have the amounts for those available?
Don Huml: Those will be disclosed in our K.
Operator: That was our last question. I’ll now turn the call back over Ms. Strohmaier.
Deborah Strohmaier: Thank you. Thank you again for joining us this morning. As a reminder this call will be available for replay from noon today and ending at 11:59 pm Eastern Time on Tuesday December 16. The playback telephone numbers are 800-642-1687 for domestic callers and +1-706-645-9291 for international callers. The conference ID is #75621324. A digital replay of conference call will also be available in approximately one hour on the company’s website at www.greif.com. We appreciate your joining us this morning.
Operator: This concludes your conference call for today. You may now disconnect your lines.